Operator: Good morning and welcome to KeyCorp’s 2009 fourth quarter earnings results conference call. This call is being recorded. At this time I would like to turn the call over to the Chairman and Chief Executive Officer, Mr. Henry Meyer. Mr. Meyer, please go ahead.
Henry Meyer: Thank you, operator, good morning everyone and welcome to KeyCorp’s fourth quarter 2009 earnings conference call. Joining me for today’s presentation is our CFO Jeff Weeden, and available for the Q-and-A portion of our call, our Vice Chairs Beth Mooney and Peter Hancock, Chief Risk Officer Chuck Hyle, and our Treasurer Joe Vayda. Slide two is our forward-looking statements disclosure statement. It covers our presentation materials and comments as well as the question-and-answer segment of our call today. Now if you would turn to slide number three. Today we announced a net loss from containing operations of $258 million or $0.30 per common share. Although this remains a challenging environment, we are encouraged by the continued stabilization of the economy and some positive trends in our fourth quarter results. Our net interest margin increased 24 basis points from the prior quarter as a result of reduced funding costs and better earning asset yields and although net charge-offs remained elevated, we saw meaningful improvement in the fourth quarter in most of our credit metrics, we including decreases in delinquencies, criticized and classified assets, non-performing loans, and non-performing assets. Slide three shows the strategic priorities that guided our actions in 2009 and continue to be the primary areas of focus in 2010. These priorities are built around three strategic imperatives, maintaining a strong balance sheet, reducing risk, and positioning the company for growth. While 2009 was one of the most challenging years in our company’s history, I am pleased with the progress that we have made on these priorities. The first priority is balance sheet strength, which is one of the foundational elements on which all of our business strategies are built. We believe that strong capital, reserves and liquidity are critical, not only in today’s environment, but also to support future growth opportunities. During the year, we took a number of actions to strengthen our balance sheet, including generating approximately $2.4 billion of new Tier 1 common equity and continuing to build our loan loss reserve. At December 31, our Tier 1 common equity ratio was a strong 7.46% and our Tier 1 risk based capital ratio was 12.68%, both measures are up significantly from the year ago period. Over the past year, we also increased our allowance for loan losses by over $900 million to $2.5 billion. At the end of the fourth quarter, our loan loss allowance represented 4.31% of total loans and 116% of non-performing loans. Both of these ratios should place us in or very near the top quartile of our peer group and we made significant progress on strengthening our liquidity and funding positions, our average loan to deposit ratio at year end was below 100%, compared to several years ago when we were in the 140% range. This improvement was accomplished by growing deposits, which reduced our reliance on wholesale funding. We also exited non-relationship businesses, while increasing the portion of earnings assets invested in highly liquid securities. Proactively addressing credit quality and reducing our risk profile has been and continues to be one of our top priorities. One of our primary areas of focus has been reduce our exposure to the higher risk segments of our commercial real estate portfolio. Since the first quarter of 2008, we have reduced our commercial real estate, residential properties exposure, by over $2.5 billion, or 69% to $1.1 billion, which includes significant reductions in our California and Florida exposures. We have also continued to address other parts of our commercial real estate portfolio, including working with our developer clients to provide interim financing on viable projects, when long term takeout financing is not available. We have been successful in re-underwriting many of these credits, while strengthening Key’s collateral position and adjusting pricing to reflect current market conditions and we have been aggressive in disposition higher risk loans and assets. Key was one of the first banks to initiate the sale of a large portfolio of at risk commercial real estate homebuilder loans and since that time, we have continued to sell both loans and other real estate owned. A strong balance sheet and improved risk profile position us to leverage the investments that we have made and continue to make in our core relationship businesses and despite this difficult operating environment, we’ve made progress in creating some distinctive businesses with attractive growth opportunities. In Community Banking, we’re continuing to invest in our people, infrastructure and technology. In 2009, we opened 38 new branches in eight different markets and we plan to open an additional 40 branches this year. We have also completed 160 branch renovations over the past two years and expect to renovate in the 100 branches in 2010. In addition, we created 157 business intensive branches last year, which are staffed to serve our small business clients and while many of our competitors have reduced our commitment to this segment, Key is taking a longer term view and will be uniquely positioned in our markets as the economy improves. We are also investing in product enhancements and innovation, driven by client insights in each of our community banking client segments. Recent initiatives include our KeyBanc rewards offering, mobile online banking through iPhones and Blackberrys, and upgrades in our treasury management capabilities and we believe our real competitive distinctive is our people and the sales and service culture that we have also. This difference was recognized last year with Key being the top rated bank in Business Week’s customer champ survey. In National Banking, we have continued to focus on reducing risk and sharpening our focus on segments, where we have an advantage. Businesses that do not meet our risk adjusted return hurdles have been moved to the exit portfolio. As I mentioned, we have reduced our exposure to commercial real estate and to continue to look for opportunities to leverage our commercial real estate servicing capabilities. We have also sharpened the focus of our institutional business, by aligning around four specific client segments, and investing in the people that can capitalize on attractive opportunities again as the economy improves and we are emphasizing areas of synergy with client segments in a Community Bank such as equipment leasing, and certain product offerings through KeyBanc Capital Markets. In our equipment leasing, we are leveraging our scale and expertise to meet the needs of our clients across the organization from small business all the way up to the large corporate clients. Finally, we have continued to make progress on improving the efficiency and effectiveness of our organization. Our staffing levels are down by over 2500 FTEs over the past two years, and we continue to implement initiatives that will better align our cost structure with our relationship focused business strategies and we want to ensure that we have effective business models that are sustainable and flexible, so that we are well positioned to capture new market opportunities. We clearly have work remaining, but as we turn our sites to 2009, I remain confident that we are taking the right steps to emerge from this extraordinary period as a strong competitive company. Now, I’ll turn the call over to Jeff Weeden, for a review of our financial results. Jeff.
Jeff Weeden: Thank you, Henry. Slide four provides a summary of the company’s fourth quarter 2009 results from continuing operations. Unless otherwise noted, our comments today will be with regard to our continuing operations. For the fourth quarter, the company incurred a net loss of $0.30 per common share. Several items impacted our fourth quarter results, including continuing elevated credit costs, and realized and unrealized losses on CMBS holdings, and other direct or co-managed fund investments in our real estate capital line of business. These realized and unrealized losses totaled $92 million or $0.07 per common share. After the fourth quarter write-downs, we have a remaining carrying value of $29 million in our CMBS portfolio and $63 million in our other real estate related investments within the real estate capital line of business. A significant positive item realized during the fourth quarter was the final settlement with the IRS of the tax years 1997 through 2006, which resulted in recording a credit to income taxes of $106 million or $0.12 per common share. Turning to slide five, for the fourth quarter of 2009 the company’s taxable equivalent net income was $637 million compared to an adjusted $613 million in the third quarter. The net interest margin expanded 17 basis points to 3.04% for the fourth quarter, compared to the adjusted margin for the third quarter of 2009. The company benefited from an improved funding mix as CDs, which were booked in 2008 continued to mature and reprice at current market rates, or move in to lower cost deposit products, such as now and money market accounts. We expect this trend to continue into 2010 as we experience additional maturities of CDs booked in 2008 or earlier. This repricing opportunity will continue to benefit the net interest margin in 2010, and with respect to the first quarter, we anticipate a five to 10 basis point further expansion of the net interest margin. Turning to slide six, during the fourth quarter, the company experienced a $4.3 billion decrease in average total loan balances compared to the third quarter of 2009 and a $12.8 billion decline compared to the fourth quarter of 2008. The decline in average balances continues to reflect soft loan demand for credit from consumers and businesses, as they continue to deliver, given the uncertain economic environment. The impact of our exit portfolios, as we continue to reduce risk in the company and the elevated net charge-off levels we have experienced. The significant decline from last year is due in part to the buildup in balances experienced in the second half of 2008, as clients drew on their lines of credit given the uncertainties in the markets, only to repay them in 2009, as the financial markets improved. Until clients gain more confidences in the strength of the economic recovery, we expect loan demand to remain soft going in to 2010. In addition, we will still face head wins from the runoff of our exit portfolios and elevated net charge-offs. On a more encouraging point over the past quarter within the community banking part of our operation, we have seen a pickup in our commercial loan pipeline reports from very depressed levels observed earlier in 2009. Turning to slide seven, average deposits were down approximately $600 million from the third quarter and up $3.6 million from the same period one year ago. With respect to the individual deposit categories, we experienced an increase in DDA balances as commercial clients continued to hold higher balances to offset analyzed deposit service charges and alternative short term investment opportunities are less attractive given the low rate environment. Now and money market deposit account balance is grew as money from maturing CDs shifted back in to these accounts, as current CD rates looked less attractive to clients. We also some of these funds leave our deposit categories as individuals look for higher yields elsewhere, or invested the money in other prods such as annuities. We expect this trend to continue in to 2010 with a significant portion of money from maturing CDs, either moving back in to now and money market deposit accounts or moving to other forms of investment. As I mentioned earlier, the repricing of the CD book will also continue to benefit the net interest margin. Slide eight shows the progress we have made over the past year to improve the liquidity position of the company. On this slide, you can see the change in assets and the improved funding mix of the company over the past year. As shown on this slide, for the fourth quarter of 2009, the loan to deposit ratio stood at 98%, a significant decrease from one year ago when it was 125%. In this loan to deposit ratio, we have also included our discontinued operations balances. Turning to slide nine, net charge-offs in the fourth quarter increased to $708 million, and represented 4.64% of average total loans, compared to $587 million or 3.59% experienced in the third quarter of 2009. The increase from the third quarter was the result of charge-offs recorded on two specific customer relationships in the real estate capital line of business. The charge-offs on these two relationships accounted for $131 million of the total net charge-offs for the fourth quarter. We also continued to build reserves during the fourth quarter, however, at the lowest pace in over two years. At December 31, 2009, our reserve balance stood at a little over $2.5 billion, and represented 4.31% of total loans. In addition, our reserve for unfunded commitments increased by $27 million during the fourth quarter to $121 million, and when combined with our loan loss reserve, total reserve for credit losses represented 4.52% of total loans at December 31, 2009. Turning to slide 10, our non-performing loans stood at $2.2 billion at December 31, 2009, and our non-performing assets were $2.5 billion. These totals represented decreases of $103 million, and $298 million in non-performing loans and non-performing assets respectively from September 30, 2009. As shown in the summary of changes in non-performing loans on page 27 of the earnings release today, the net inflow of non-performing loans continue to decrease in the fourth quarter, and while still running high, was at its lowest level of 2009. Also shown on page 27 of the earnings release are, our 30 to 89 day, and 90 day or more past due loans, which continued to show improvement in the fourth quarter. These past due loans declined to their lowest level since the third quarter of 2008. Our coverage ratio of our loan loss reserves to non-performing loans increased to 116% at December 31, 2009. When combined with our reserve for unfunded commitments to our total loan loss reserve, our total allowances for credit losses represented 121% coverage of non-performing loans at December 31, 2009. In addition, non-performing loans are carried at approximately 76% of their original face values, and other real estate owned and other non-performing assets are carried at approximately 53% of their original face values. In total, we have recognized approximately $1 million in charge-offs and write-downs against these assets as of December 31, 2009. Slide 11, is a breakdown of the commercial loan portfolio by line of business. A couple of points to draw your attention to here are, first, you can see clearly the large increase in average commercial loan balances outstanding in 2008, and the subsequent decline that occurred in 2009. Also, on a quarterly basis, average balances declined significantly in the second half of 2009, as business liquidity improved and companies used this as an opportunity to refinance in the capital markets or simply used excess liquidity to pay down debt. Next, non-performing loans and net charge-offs in 2009 were driven by the real estate capital line of business within national banking. This line of business accounted for approximately 31% of the outstanding average commercial loan balances, 55% of the commercial non-performing loans, and 66% of the commercial loan net charge-offs experienced in 2009. In the appendix, we’ve included additional schedules with respect to our various loan portfolios for your review. Now concluding, with our capital ratios on slide 12, at December 31, 2009, our tangible common equity to tangible asset ratio was 7.56%, our Tier 1 common equity ratio was 7.46%, and our Tier 1 risk based capital ratio was 12.68%. All of our capital ratios remain strong. This along with the company’s improved liquidity positions us well to weather the current credit cycle, and to continue to serve our client’s needs. That concludes our remarks, and now I’ll turn the call back over to the operator to provide instructions for the Q-and-A segment of our call, operator.
Operator: (Operator Instructions) Your first question comes from Betsy Graseck - Morgan Stanley.
Betsy Graseck - Morgan Stanley: Could you talk a little bit about the outlook for NIM and the impact you anticipate from rising rate environment?
Jeff Weeden: Betsy, this is Jeff Weeden. I think in terms of how we’ve described the opportunity in the net interest margin is the directionally we’re calling for it to expand in 2010. The specific guidance that we provided was for approximately 5 to 10 basis points further improvement in the first quarter. We are positioned currently in a very asset sensitive nature. So for rising rates, the company will benefit. This is probably the most asset sensitive we’ve been as a company, at least in my tenure here at the company.
Betsy Graseck - Morgan Stanley: What is the baseline expectation for rate rise that drives to 5 to 10 BIPS increase?
Jeff Weeden: There really isn’t any rate rise that’s anticipated for the first quarter. That is driven by the fact we have a CD book that was put on in 2008 that continues to roll off here through the first three quarters of 2010.
Betsy Graseck - Morgan Stanley: So could you just give us a sense of your NIM impact, if you anticipate rate rice? If rates were to go up 100 BIPS what is the impact?
Jeff Weeden: We basically have done a 200 basis point rise, which we would typically do over a ramp time period, and the impact we would have on that versus a baseline would be about 3.3%.
Betsy Graseck - Morgan Stanley: 3.3% increase in NII?
Jeff Weeden: Versus the baseline; that is correct.
Betsy Graseck - Morgan Stanley: Then could you talk a little bit about what you think the organization can generate in terms of normalized ROA or ROE when we get there? I know it’s still a little bit in the distance, but line of sight is improving and the business mix did shift a little bit during this downturn. So could you just give us your sense as to what you think the organization can generate?
Jeff Weeden: Betsy, I think in terms of we haven’t provided specifics in that particular area, but as a general rule, as we continue to work our way through the credit cycle and we feel that we’re still a long ways away from what we would call normal credit conditions. So we’re talking beyond 2010. Credit charge-offs will still remain elevated in the current time. We still have elevated cost in place. Our key initiatives continue to move forward. We’ve talked about that. We won’t be at the full run rate on that until 2012, but clearly given the shift in the business mix and the continued refocusing of the company to have a more efficient and effective balance sheet and organization. I think in terms of the industry and for Key, we’re probably looking at a 1% to 1.25% return on assets.
Betsy Graseck - Morgan Stanley: Then last on TARP, could you give us an update as to how you’re thinking about that?
Henry Meyer: Betsy, this is Henry. We’re continuing to work the position Key to repay TARP as soon as possible and practical. We’ll do so as part of our overall Capital Management plans, and in a way that maintains the company’s strong balance sheet position. Right now it’s premature to speculate on that timing or any change in our capital structure that may be needed to do that, but we’re continuing to keep that on our radar screen.
Betsy Graseck - Morgan Stanley: So it’s hard to say is it going to be within the next year or so?
Henry Meyer: We haven’t provided any specific guidance with respect to the repayment of TARP at this particular juncture.
Operator: Your next question comes from Nancy Bush - NAB Research.
Nancy Bush - NAB Research: Henry, this is one of these longer term questions as well. I think everybody would can see that you’ve done a very, very good job of shrink the company, shrinking the risk portion of the company, really getting through the credit cycle and you’re beginning to see the other side of that. I guess the question would be how do you get out of the shrinkage mode in to the growth mode? Since you in several markets where you don’t have top market shares, I mean is there any thought about a longer term sort of restructuring of the company as far as your geographic emphasis?
Henry Meyer: Nancy, you’ve followed us for a long time and I’ve said before that there’s no geography that’s currently a part of Key that has a lifetime contract. We continue to look at the returns that we get from different geographies and lines of business. We’re constantly reviewing that, but we do think that there are going to be opportunities here beyond working through the FDIC troubled list, I happen to believe that there’s going to be consolidation in the banking industry and I think strong capital positions and good business models are going to be the winners there. As we have said, we’re shifting our business mix a little bit away from the national banking group, primarily some of the national consumer businesses that don’t give us the hurdle rate returns that we need and investing that in the community bank, not only in the effort to continue to be better self funded, which we’re now, under 100% loan to deposit, but also in the small business and middle market areas and looking at the synergies across the Key franchise, including using some of the products and services that the national bank provides. So we don’t think we’re limited in terms of where those growth opportunities are. We do think that we have got this transition period where we’re working our way out of the exit portfolio and continuing to focus on growth in effect running to stay even, but as that exit portfolio wins its way down, we’ll be able to see the kind of growth primarily around our core relationship businesses. That, again we think is going to put us in good position.
Nancy Bush - NAB Research: What is your thought about becoming bigger and more concentrated in the Midwest I mean, given that the economic outlook, I’m sure is going to remain subdued there for a while, but that still is your major geography, do you want to be bigger in the Midwest, bigger in the Pacific Northwest, where would your preference be?
Henry Meyer: Yes. Yes and yes, the truth is that we don’t have the market share in some of our Rockies and Northwest states, but in the micro markets that we’re in, we actually have very competitive share positions, but we have been saying, again, pretty consistently for sometime that we would like to be one, two, or three, or 10% in terms of market share, because we think that positioning maximizes profit potential and we have been looking at FDIC assisted deals. Unfortunately as I think everyone knows I think I’m right when I say that Georgia has been the number 1 state, and number 2, 3, 4, 5, and 6 aren’t in our marketplace. There is some good in that and there’s some negative in that we haven’t seen the opportunities that we would like, but, again beyond that and you started out by saying, Nancy, that this is a longer term view, we’re trying to position Key to be an acquirer or in what I think will be an inevitable consolidation that will happen over the next couple of years, not necessarily the first half of 2010.
Nancy Bush - NAB Research: Just quick questions for Jeff, Jeff are you at the end of shrinkage at this point; I mean have you shrunk as far as you can in these risk areas?
Jeff Weeden: What we still have Nancy the additional runoff that’s going to occur. If you look at the elevated charge-off levels that we have experienced and our guidance is that charge-off should be less in 2010 than in 2009, but they are still going to remain elevated. Just doing replacing that takes quite a little bit of effort in this particular economy. I think until we see people have more confidence in the overall strength of the economy and while we’re seeing some pickup in the loan pipeline within the community bank, we still we would not call it robust at this point in time, so it’s going to be a while and I think we’re going to continue to see pressure on those loan books and they are truly going to then shift over to in to the investment portfolio and be stored there, until we see opportunities to redeploy that back in to the lending areas.
Operator: Your next question comes from Mike Mayo - CLSA.
Mike Mayo - CLSA: You mentioned some one timer that is for make sure I have them all. You said you benefited by $0.12 from the tax benefit and then you got hurt by $0.07 from some CMBS holdings of $92 million, but I saw some other things in the press release, so I guess you had some hedge on debt instruments, where you lost $39 million? You had investment losses on real estate of negative $34 million, and it looks like you had some fair value adjustments on derivatives negative $16 million.
Jeff Weeden: Those were all in 2008, Mike. Those were 2008 items, which you were just listing off with the exception of the tax benefit that we recorded here in the current fourth quarter. Now the $92 million or $0.07 as you were referring to on CMBS also involved other real estate related investments. So we have direct as well as co-managed fund investments that we did have some losses on continued write-downs in the fourth quarter.
Mike Mayo - CLSA: You had $80 million from principal investing this quarter?
Jeff Weeden: Yes, that’s the gross amount, its $44 million after the portion that’s attributable to others. So we have a portion of that under the accounting rules, we have a gross amount of $80 million, but net to Key is $44 million. So we’ve actually broken that out in the press release. I believe that’s on page three of the press release. You can see that, perhaps more clearly on that table.
Mike Mayo - CLSA: So should we think of that is non-permanent?
Jeff Weeden: I would think in terms of the principal investing, if you look we had losses early in the year, again in the end of the year, for the entire year, I believe it netted down to about $4 million or so of the net loss. So I would view that as volatile and non-recurring.
Mike Mayo - CLSA: Just more generally, that the gap between your pre-provision, pre-tax profits and your level of loan losses is very wide, and as long as it stays wide, I guess your book value will continue to go down quarter-after-quarter. How should we think about when that might not be the case anymore? In other words, you either need the revenues to go up, or the losses to go down, when you think those lines will intersect again.
Jeff Weeden: Also our expenses coming down too I would say Mike, so in terms of improving the pre-provision profitability, and looking at the cost side, clearly costs are elevated at this particular juncture as we tackle some of the more problem areas of the company. I think in terms of when we expect to, quote unquote, be profitable, we’re not providing that specific guidance, but I would think in terms of looking at 2010 in the whole, clearly losses we expect to remain elevated as we enter in to 2010, and that costs will be a continuing focal point for us. Margin expanding here will be beneficial to profitability of the company, but we also, as mentioned earlier, there’s still pressure on average earning assets, just as these loan portfolios continue to work themselves down. So we haven’t given specific guidance on when that profit turnover point is, but it is out, obviously in our own plans in to the future.
Mike Mayo - CLSA: In terms of these elevated costs, the expenses that are elevated due to the problem assets, can you quantify that a little bit, because whenever we get back to normal, that will be gone.
Jeff Weeden: That’s correct. So I think if you look at for example, in the fourth quarter, professional fees shot up as we addressed a number of issues that we faced in some of these assets. They’re probably about $20 million higher here in the fourth quarter than what they were running the reserve for unfunded commitments. In the fourth quarter, we actually made an adjustment based upon our prior three year history here with respect to just loss given default ratio rates. As a result of that, even though commits didn’t change that much, and as Henry commented on earlier, criticize and classified actually improved during the fourth quarter, but our updated loss given default rates increased, given that most recent history. So that drove some of that increase in the reserve for unfunded commitments. Now, of course, as we have continued migration of credit going the other direction at some point, that will actually bring down that reserve. So that was $27 million in the fourth quarter, and then I think if we look at some other things we’ve made some adjustments with respect to our pension here in the company. So the pension plan was froze effective as of January 1, so there won’t be anymore new entrants, so there’s still, it’s a cash balance financial still the interest credited to the balances that are out there, but that will also save us going forward anywhere $5 million to $10 million per quarter and then I think if you look at just other real estate costs, going back through time, we basically used to run in the $5 million a quarter range. That’s been up as high as $50 million. There was $25 million in the fourth quarter. So overtime that will also normalize.
Mike Mayo - CLSA: So we’re getting almost close to $100 million in expenses that will go away ballpark?
Jeff Weeden: Ballpark.
Mike Mayo - CLSA: Then very last question, I mean the actual level losses went up a lot from 3.59% to 4.64%. It seems like real estate commercial mortgage is the main reason that was a big jump. Was there anything, kind of one time unique there? Why so much of a jump this quarter?
Henry Meyer: We put in the press release Mike, there are two credits that really drove the increase and I’ll let, Chuck will comment on those particular credits.
Chuck Hyle: Mike, there were two real estate transactions that were really large by our standards. One of them was a highly structured mezzanine transaction. We have a very small mezzanine portfolio and I think it’s down to about $280 million. So this was one that had many levels it to, very complex structure. The underlying cash flows were actually holding up relatively well, but the structure was the Achilles Heel and so we recognized that loss. The other transaction was a very large multi-bank, essentially residential real estate transaction that was sort of a late stage transaction and we all know what has happened in the residential real estate side of things. A lot of the land associated with this deal is in the Southeast and as we have said before, we have pretty aggressively attacked our residential real estate business, and shrunk that portfolio. This was one that was actually something of a hung syndication, a bit larger than we would normally have. We didn’t have a very good view of where residential land prices were going. So we sold the asset during the course of the fourth quarter and inline with what our expectations of other sales have been over the last couple of quarters and put it behind us and again, as we’ve outlined in previous quarters, we’ve attacked that subset of the real estate portfolio quite aggressively, and it’s getting down to fairly small numbers.
Mike Mayo - CLSA: That’s probably kind of just, I wouldn’t call it onetime, but you wouldn’t expect to see that repeat in the first quarter?
Chuck Hyle: That is not our expectation.
Operator: Your next question comes from Ken Usdin - Bank of America/Merrill Lynch.
Ken Usdin - Bank of America/Merrill Lynch: Just a follow-up on the outlook and how the cycle progresses, taking the context that you are expecting charge-offs to be lower year-over-year. I’m just wondering the magnitude of reverse build has obviously shrunk a good amount and continued through this quarter. The reserve is up to 4.3, you have this nice churn in MPAs. What’s the outlook for having to build additionally to the reserve from here? At what point would you expect that actually be matching if not even releasing as this book continues to shrink so meaningfully?
Jeff Weeden: I think what we have to look at each and other quarter and we have seen improvement in the overall non-performers here. So you saw less of a reserve build, but I think what we are still guarded about is the strength of the overall U.S. economy and so as we get further into this recovery, that’s taking shape here. There will be a time and I don’t believe it’s in the too distant future, where we will actually end up matching. As you said actually reserves will start to comedown as we go through the cycle. Part of the leading indicators that we have here are criticizing classified coming down, as well as non-performing loans coming down, and we experienced that in the fourth quarter, but charge-offs, as we also reported on were high in the fourth quarter.
Ken Usdin - Bank of America/Merrill Lynch: Can you give us a sense of magnitude on how your credit class acted versus the prior quarters?
Henry Meyer: I think in terms of, Chuck can comment on that particular subject.
Chuck Hyle: Ken, I think that we were very encouraged by how the criticized classified book worked through in the fourth quarter. We saw a good migration in the right direction. I think one of the things that I look at a lot is the ratio of upgrades to down grades and what comes in and what goes out, and that ratio has improved quite materially over the last coup of quarters. So I think it’s a good indicator of our efforts to attack the portfolio pretty aggressively, and early on, when we see a particular issue and as a result, criticized classified are not just migrating better, but also paying down. So I think we’re encouraged by that, as we all know through the cycle, we tend to see the early movements and the criticized classified it flows through the delinquencies and MPLs and MPSs and in to charge-offs overtime, but we have been pretty encouraged really across almost all of our portfolios on the change of tone in the criticized classified categories.
Ken Usdin - Bank of America/Merrill Lynch: One quick follow-up just on CRE, MPOs were pretty flat there, but obviously there was a nice mix shift kind of add of the residential, but into the multifamily, and I was wondering if you could give us a little bit more color on that sub bucket of the portfolio, and what trends you seeing within some of those categories with income produce that actually did show increases like multifamily and land and such?
Henry Meyer: Yes, I would say, multifamily is an interesting asset class, because, our expectation, as we have said on previous calls, is that loss content in multifamily will be relatively modest through the cycle. The issue is how it ramps up during the rental intake and we have been encouraged by a couple of things. One, the primary one is that absorption rates in virtually all states, even the four states that have been most materially impacted by the residential downturn have held up pretty well. The negative is that concessions or free rent months or whatever has clearly been a part of this process, so our expectation is that while we see some drift in to MPL and delinquency, overtime our expectation is that most of this will reserve itself, so it’s really more of a timing issue. The other comment I would make and this accounts for a portion of the increase in the MPL side for this quarter, is that we have done a number of TDRs, trouble debt restructurings and a good portion of our TDRs, which I would you can find in the press release but it’s about $360 million for the fourth quarter, is an up tick in the NPLs, but our expectation as we have restructured those deals, is they will come back in to accruing over the next one, two, or three quarters. So I think that’s a little bit of a temporary aberration in the MPL side.
Operator: Your next question comes from Jessica Halenda - FBR Capital Markets.
Jessica Halenda - FBR Capital Markets : This actually Jessica Halenda in for Paul Miller, I was just wondering if you could give us a little bit more color on your progress in the exit portfolio, and, we saw a big jump last quarter, it looks like the balance has come down a bit this quarter, but are you primarily reading to run this down are you actually trying to sell any portion of it and I guess what kind of prepayment speeds are you seeing in these portfolios?
Jeff Weeden: We have the exit portfolio both in the press release it’s included there. It’s also on slide 21 of our materials for this conference call. Looking at the various portfolios that are there, obviously on the residential property side, which is down now to about $431 million at the end of the year, that one we’re continuing to work our way down, sell properties, get cash and continue just liquidating on out that particular book. The marine and RV floor plan, that’s one that is going to be dependant on some refinancing taking place in the industry. So, that will can go in ebbs and flows we had good activity in the third quarter, it slows down typically this time of year, so fourth quarter and then you should see some pickup obviously as we get in to 2010, later in the spring. The commercial lease portfolio, there’s a portion of that this is a little over a billion dollars that is going to be our leverage lease book. Those are very long lives. The rest of it has a shorter duration on it and we’ll continue to pay down, but the leverage lease part of it so going to kind of go in ebbs and flows on that. Home equity and national banking is just going there really isn’t much of a market for these particular credit, so you’re talking about something that’s going to take a longer period of time to pay down, the same with marine. So if marine activity picks up, if the economy picks up, we would expect that people would trade in boats and look for new boats, and that would cause that prepayment speed to pick up, but this is certainly, kind of the slow time of the year for that, and the other it is just miscellaneous RV and other consumer loans, and that’s got a longer tail on it.
Jessica Halenda - FBR Capital Markets: Then just also one more question, in terms of investment banking in capital markets, we’ve seen a loss of two quarters in a row. Can you talk a little bit more about expectations going forward, and how we should think about that?
Jeff Weeden: I think if you look at actually the press release, and look at the schedule that’s on page 23, you’ll see that within that the investment banking capital markets area, investment banking income was actually up about $22 million year-over-year, and grew by $7 million here in the fourth quarter versus the first quarter. So why would I call it pure investment banking-related activities, actually has been doing quite well. What has not been doing well, obviously are some of the portfolios that we have on a held-for-sale basis, or that have are on a mark-to-market accounting, and that would involve the CMBS bonds, that are now down to $29 million remaining carrying value, and our investments in the real estate area with respect to either direct investments or co-managed funds. We had a large market on those in the current quarter, and those remaining carrying values now are down to about $63 million. At some point in time in the not-too-distant future, we’re going to be in a position where it will get back to a more normal fee revenue flow in that particular area, and you won’t see those numbers coming through. Eventually, these properties and other investments may actually be written up at some time in the future, but we’re not counting on that, certainly anytime in the near term.
Jessica Halenda - FBR Capital Markets: How do those carrying values relate to the par value of the bonds?
Jeff Weeden: The par value of the bonds, the $29 million, par value is $101.8 million, and with respect to the other investments, of those that are remaining on the books with the carrying value they’re about 51%. So already have written-off a number of them down to zero and those are not included in that.
Operator: Your next question comes from Gerard Cassidy - RBC Capital Markets.
Gerard Cassidy - RBC Capital Markets: Question I have for you is there any pressure from the regulators or treasury to payback TARP faster than what you have maybe planned to do similar to what we saw at the end of last year with some of our very large banks in this country?
Jeff Weeden: We have not experienced any sway from our regulators. They’re not pushing us to do it. They’re not pushing us not to do it. It’s up to us to figure out what the right time is for Key for our earnings, and for our capital, but I can say pretty definitively that the regulators have not been involved in any sway on that issue.
Gerard Cassidy - RBC Capital Markets: Chuck, you mentioned the restructured loans, and I think you said they were up over $300 million or about $360 million in the quarter. Could you remind us what they need to do to come off of restructuring and then go back into the portfolio? How many months do they need to pay you on the new terms? If I recall they have to go through calendar year end as well?
Chuck Hyle: That’s correct, Gerard, it has to go over a calendar year end, what’s not surprising there’s more activity in this we’re on the fourth quarter, but it’s basically six months of performance under whatever the new structure is.
Gerard Cassidy - RBC Capital Markets: Can you share with us, what will it take for you guys to see in terms of credit where you’re comfortable to say that the loan loss reserves are now sufficient? There’s no need to continue to build them up? Will it be the inflows of new non-performing assets? It will be net charge-offs? What are some of the metrics that you guys are monitoring carefully to determine when you finish, building up the reserve.
Chuck Hyle: Gerard, we look at a lot of different metrics, as you can imagine. The pipeline we look at with the impact on criticized classified, so we have a watch list, which is pre-criticized classified. We look at migration patterns. We look at just a ton of things trying to determine where things are going. The calculation of our allowance is very quantitative, although clearly there is some judgment in it, but it’s largely quantitative. Jeff referenced earlier, some of our methodological changes as we review loss rates, particularly through this very difficult cycle, and we do a lot of back testing on our models, trying to get it as close to quantifying the risk in our portfolio as we possibly can, so we look at all of those factors. We look at as I said earlier, the upgrade, downgrade ratios and flows, and migratory patterns, and that’s how we reach our concludes on how large the allowance should be, but most of those trends, as we said earlier, are moving in the right direction now, particularly in the fourth quarter for us. Therefore, we are certainly getting closer to a point where, provision will be pretty close to charge-offs, and, we just need to keep working our way through that. Each month gets a little bit better, and so much really does depend on how the economic cycle is going to pan out. We’re still looking added to be relatively modest improvement, but we’re watching it very closely like everyone else is.
Gerard Cassidy - RBC Capital Markets: I know this is a tough question to answer, but when you look over the valley on credit, and we are sitting here possibly in 2012 and looking back on this time period, do you guys get any sense from the regulators or your own interpretation of an I know its different very company base on loan portfolio, but just using a metric of loan loss reserves to total loans, for example, do you get a sense of where they may settle out in the long run, 175 basis points, 200 basis points of loans, or will banks be required to carry 400 basis points of reserve to loans as a normal number?
Henry Meyer: I think that’s a really hard one to predict. We look at a lot of different things. We talk to a lot of different people and this has been a very unusual and difficult and complicated credit cycle and I think we’re going to have to get closer to the other shore to try to figure out the answers to those particular questions.
Gerard Cassidy - RBC Capital Markets: Thank you. Moving over to the securities portfolio, that has been one of the areas of real growth for you guys. What is the duration of the securities portfolio?
Jeff Weeden: The duration of the securities portfolio is 3.0 years.
Gerard Cassidy - RBC Capital Markets: If the Federal Reserve was to raise short term interest rates, let’s say starting in July, and by the end of this year, we have a fed funds rate of 150 basis points, the long end of the curve is 4.75, something like that. What would that is there any extension risk? Or how much extension risk might be in that portfolio under that scenario.
Joe Vayda: This is Joe Vayda, and on your question on the duration extension in the portfolio, most of the portfolio is in mortgage backed securities, but you need to recognize that most of it is in short trench structured CMO product, and we’re careful that what we buy has limited extension risk, so the answer to your question within that its probably a year, year and a half under the rate scenario that you are describing, as far as an increase in the average life of that component of the portfolio.
Gerard Cassidy - RBC Capital Markets: Joe, would transcend in to duration of the total portfolio going up to 3.5 years then, or is that too conservative?
Joe Vayda: Under your what if scenario, probably in the four year area.
Operator: Your next question comes from Rob Placet - Deutsche Bank.
Rob Placet - Deutsche Bank: This is Rob Placet from Matt’s team. Thanks for taking my question. Just in terms of the balance sheet, any sense of what level and when your core loan balances may bottom?
Jeff Weeden: This is Jeff Weeden. I think what we look at on the loan balances we have to determine, really, when we think the underlying demand is going to come back more readily from our customers across the entire spectrum of our businesses. So, at this particular juncture, we’re not providing that type of guidance. We do believe that as we made it in our comments that we expect to see loan balances continue to decline and be under pressure because of what we mentioned earlier of the exit portfolios that we have, soft demand on the part of our clients, as well as still elevated charge-off levels that we expect to continue to experience.
Operator: Your final question comes from Nancy Bush - NAB Research.
Nancy Bush - NAB Research: Just a quick follow-up for Chuck, please; Chuck, you mentioned your real estate exposure in the Southeast and there’s been a bit of press in the last few days on the outlook of Atlanta and some other big projects there. Could you just tell us what you have got in Atlanta?
Jeff Weeden: Nancy, this is Jeff Weeden. If you look at page 17 of our earnings release deck that we put out. You’ll see the various regions and the entire Southeast region. In our non-owner occupied area, about $2.2 billion. That includes the map, its a little much broader area that we’ve had before. I don’t know if we have the map in this particular deck, but it’s a broader area than just obviously the Atlanta or Georgia area, and it covers a number of different property types.
Chuck Hyle: It goes all the way up to D.C., so it is quite a wide geographic area. I would probably say anecdotally, Nancy, that a couple of years ago, we didn’t like some of the dynamics in the Atlanta area. So we sold a number of projects, particularly in the multifamily area out of Atlanta. So we don’t have a major presence there, but we’ve been very careful, particularly in condominiums and other areas in terms of the Southeast. So we’ve pulled back earlier than most, I think. So that may give you some flavor for where we are there.
Operator: With no further questions in the queue, I’d like to turn the conference back over to Mr. Henry Meyer for any additional or closing remarks.
Henry Meyer: Thank you, operator. Again, we thank you all for taking time from your schedule to participate in our call today. If you have any follow-up questions, you can direct them to our investor relations team, Vernon Patterson or Chris Sikora, at 216-689-4221. That concludes our remarks. Again, thank you and have a great day.
Operator: That does conclude today’s presentation. We thank you for your participation.